Operator: Good morning. My name is Kristine, and I’ll be your conference operator today. At this time, I would like to welcome everyone to the IDEX Corporation Q2 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers remarks there will be a question-and-answer session. (Operator Instructions) Thank you. I would now like to turn the conference over to Mr. Heath Mitts, Vice President and Chief Financial Officer. Sir, you may begin your conference.
Heath Mitts: Thank you, Kristine. Good morning, everyone. And thank you for joining us for our discussion of IDEX second quarter 2011 financial highlights. Last night we issued a press release outlining our company’s financial and operating performance for the three-month period ending June 30, 2011. The press release, along with the presentation slides to be used during today’s webcast can be accessed on our company website at www.idexcorp.com. Joining me today from IDEX management are Larry Kingsley, our Chairman and CEO; and Mike Yates, our Vice President and Chief Accounting Officer. The format for our call today is as follows, we will walk through our view of the business as we complete the first half of 2011. We will then discuss our second quarter company results and our four business segments including an update of the recently closed CVI Melles Griot acquisition and finally, we’ll wrap up with updated outlook for 2011. Following our prepared remarks we will then open the call for your questions. If you should need to exit for any reason, you may access a complete replay beginning approximately two hours after the call concludes by dialing the toll free number 800-642-1687 and entering conference ID 66065698 or simply log on to our company homepage for the webcast replay. As we begin a brief reminder this call may contain certain forward-looking statements that are subject to the Safe Harbor language in today’s press release and in IDEX’s filings with the Securities and Exchange Commission. With that, I’ll now turn this call over to our Chairman and CEO, Larry Kingsley. Larry?
Larry Kingsley: Thanks, Heath, and I’m going to start on slide five. We had a good quarter. Demand continues to be strong and we’re executing well in this environment, most importantly though little over 80% of our exposure to markets that are growing nicely with secular trends that point towards continued expansion. There are some areas of concern, namely, U.S. municipal spend and the soft market for our Dispensing equipment, but that’s consistent with prior expectations for the year. Our global expansion continues, emerging region growth has been just fantastic and as a function of good underlying economies but also very strong IDEX market penetration. Our global margin profile is similar to the more developed western markets. So we are now realizing consistently strong margins irrespective of geographic location, as we indicated we would start to see in our last quarter call. And we’ve efficient -- effectively managed costs and have taken selective price actions that have now preserved variable margin for the full year, when you combine that with volume leverage and operating productivity. We’ve realized organic flow-through that’s incremental margin on incremental organic sales of nearly 40% through the first half of the year. And on the acquisition front, we’re right in our sweets spot. We’ve deployed over $450 million of capital to target in strategic and proprietary transactions so far this year. We announced and completed the CVI Melles Griot transaction in the second quarter with current annual revenues of $185 million. CVI tremendously enables our optics and photonics platform within the HST segment. And our balance sheet is in great shape and our pipeline of potential deals remains very strong providing us with the confidence that we can complete and integrate more strategic transactions this year in both the FMT and HST segments. So with the continued expansion of the company, we’ve made forward investments in leadership positions to enable the new growth platforms. The team we have in place now, that’s corporate, segment and platform leadership absolutely have the ability to grow the enterprise. I’m going to turn to slide six and we’re going to jump right into the results. Sales were up 20% that was up 8% organically. Our Q2 reported EPS was $0.60 and Q2 adjusted EPS was $0.62, that’s up $0.12 or 24% over the year ago quarter. Q2 adjusted operating margin of 18.2% was up 130 basis points from the prior year, productivity was strong with solid operating leverage on the growth, you’ll see as we go through all the segment detail, just strong financial performance across the company with the exception of free cash flow though which was $46 million not stellar. We would naturally expect free cash to be greater than our net income as you know. Year-to-date, we have increased our raw material and component inventory to avoid material inflation and to ensure that there were and are no disruptions from the supply chain. But that’s really only supports a portion of the increase in inventory, the remaining increase is not intended process driven or is it IDEX acceptable and the team is focused on driving improved performance. I expect the cash conversion to significantly improve in the back half of the year and I think the free cash number might consider a bit nitpicking but we should and we will do a lot better. If you move over to slide six, I’m going to cover the segments beginning with Fluid and Metering, for the quarter orders were up 20% that was up 14% organically. Sales increased 22% for the quarter up 16% on an organic basis. Operating margin of 19.6% was up 180 basis points from the prior year. I’m just really pleased with the FMT results for the quarter and the first half of the year. For the first half, FMT’s sales and orders have grown just under 20% and operating income was up 33%, compared to the first half of 2010. The headline concerns regarding muni budgets and lack of allocation to water and wastewater projects in the U.S. have not tremendously impacted our business. The FMT segment performed well across virtually all end markets in the quarter and for the first half. And again, global markets are substantially outpacing the equivalent U.S. markets. We now expect FMT to deliver double-digit organic growth for the full year with continued margin expansion. Now on to Health and Science, orders were up 30% for the quarter, organic orders were up 4% and it’s important to note that adjusted for large programmatic orders, compared to the prior year, in other words, it’s the year-over-year OEM blanket order timing, we would have achieved organic orders growth in the high single-digit range. Sales increased 36%, up 10% on an organic basis. Adjusted operating margin up 21.6% was up 130 basis points from the prior year and like FMT, HST sales execution continues to be just outstanding. We continue to gain share on customer platforms that’s both new and existing as we have discussed in the past, our expanding presence in life science application is an ongoing great story. In the quarter we achieved another significant win in the field of genome sequencing, an important new segment with very important customer for us. In addition, our optics and photonics platform within HST is focused on similar kinds of opportunities within life sciences and it’s already well underway toward executing a solid success story. And our [Seals] business within HST is also achieving great growth across multiple attractive life science and other instrumentation product markets and we’ll grow this platform both internally and acquisitively. So our expectation for the full year is double-digit organic growth coupled with significant acquisition growth and operating margin will continue to expand as we scale business. I’m now onto Dispensing and orders in Dispensing were down in 11%, down 21% organically, sales were down 12%, down 21% organically. Operating margin of 28.7% is up versus the prior year primarily due to the gain on the sale of some real estate in Italy in this segment. Excluding this gain, op margin would have been 20.9% though which is obviously still very respectable performance given the current volume and again, a testament to the great job that we’ve done to drive structural change in the business. Dispensing marketplace in North America remains soft and Western Europe remains okay. Opportunities in Eastern Europe and Asia are great but again we’re working off a small base there. At current sales levels for the segment, we’ll likely generate an operating margin range quarter-to-quarter between 10% and 20%. Also as you know, the second half is always lower than the first half due to natural seasonality, so full year margin this year would most likely be in the mid-teens. Again, the team continues to execute very well and has adapted to the new temporary reality of the markets that we serve. They do expect new customer programs to substantiate gross now – grow, excuse me, less than a year from now. And finally on the Fire & Safety, this segment continues to performance well. Orders were up 13%, up 8% organically. Sales increased 8%, up 3% on an organic basis and operating margin of 23.9% was up 200 basis points from the second quarter last year. For the segment in total, the growth is really coming from our ability to expand into new markets and applications. International growth should be very robust for a long time to come. We always talk about Band-It, one of the businesses within the segment and how they expand in certain market because it’s illustrative of innovation coupled with consistent execution and I think it’s easily identifiable. Band-It recently developed a proprietary new product and tool to enable field service of power generation plants. Band-It’s new product replaces costly welding processes associated with cleaning and replacing heat dissipation and shielding devices in those plants. And the team captured representative wins in the facilities in Europe and in Africa immediately following introduction that’s again a testament to their market clairvoyance kind of from idea to action. So turning on to the next slide, we’re going to change gears here and talk about CVI Melles Griot. I’m going to walk you kind of quickly through the financial impact of the CVI Melles Griot acquisition as we now integrate it within HST and that integration is well underway. CVI becomes the cornerstone of our optics and photonics platform within HST. CVI’s target end markets are life science and other OEM instrumentation end markets. CVI’s market leadership position combined with our global presence is already enabling key wins and I’d really like to commend our new leadership and the broader team at CVI for their efforts thus far is going well. CVI will contribute about $0.07 of GAAP EPS in the back half and this is inclusive of purchase accounting amortization which will be about $12 million annually. So from a cash EPS standpoint it will be about $0.12 accretive in the back half that excludes the non-cash inventory step up the charge about $3 million that you have in the Q2 numbers and $13 million in Q3. In short, we believe that CVI will perform at least as well as we have anticipated and discussed at the time we announced it and held the crawl. The optics and photonics platform has similar growth and profit flow-through characteristics to the rest of HST, so with that we should see $0.15 to $0.20 of GAAP EPS in 2012 or about $0.25 to $0.30 of cash EPS as a result of CVI’s joining the group. So I’m now moving on to slide 12. As you can see, we provided you with a bridge from the first half of this year to essentially our forecast for the back half, using the first half adjusted results as our starting point. We are forecasting strong incremental volume of $26 to $33 million, which yields back half EPS, that’s incremental EPS of $0.05 to $0.11 that is partially offset by the seasonality and Dispensing I just mentioned. You could see the CVI impact with incremental sales of $84 million in the EPS contribution of $0.07. Now we’re planning to take advantage of the current interest rate environment and we expect to issue additional debt late this quarter, which will increase interest expense in the back half and impact EPS by about $0.05. And so as you can see, we expect full year revenue to be just under $1.9 billion and EPS in the range of $2.40 to $2.46 and again, that excludes the CVI inventory charge. And so if you go to the next slide, we expect Q3 EPS to be in the $0.60 to $0.62 range, Q3 organic revenue growth will be about 8%, Fx will have a positive year-over-year impact on Q3 of about 3% and again for the full year, organic revenue growth will be in the high single digits. EPS we’re taking up to $2.40 to $2.46, that represents 21% to 24% growth rate for the full year. Adjusted operating margin for the company on a full year basis will certainly exceed 18%. The 2011 tax rate is anticipated to be 32%, full year CapEx will be between $35 and $38 million. So, with that, we’re going to open the call to questions. Operator?
Operator: Yeah, sir. (Operator Instructions) Your first question is from Robert Barry with UBS.
Robert Barry – UBS: Hi, guys. Good morning.
Larry Kingsley: Hi, Robert.
Robert Barry – UBS: Congratulations on a very solid quarter.
Larry Kingsley: Thank you.
Robert Barry – UBS: Question on the CVI impact next year $0.15 to $0.20, does that consider all the incremental impacts of the deal including incremental financing costs?
Larry Kingsley: Yeah. That includes everything and again, that’s the GAAP EPS number, Robert.
Robert Barry – UBS: Right. And I was just curious how to think about the change in your guidance. Looks like you were -- if I’m just thinking midpoint-to-midpoint of the old versus the new guidance, it looks you are a few cents ahead in this quarter. Now CVI is going to add $0.07 -- to that an incremental 10 -- slight midpoint to midpoint, it looks like you are raising it about eight. If there is something incremental that’s a head wind or how should we think about that?
Larry Kingsley : Well, if you go back to that bridge, obviously, really the only range there is EPS -- incremental EPS is generated on the organic volume which you can see, so you could choose to take somewhere higher along that range if you want to. And you do have, as I called out that interest expense, of a nickel in the back half. Robert, I don’t know if you have the bridge in front of you but we are planning to go out with some additional debt late in the third quarter which will have an impact in the second half, primarily the fourth quarter. That new debt just taking advantage of the interest rate markets and terming out some of our existing bank debt will have an impact the other way ands that is included in our guidance assumption. That is to the tune of about $0.05 in the second half of the year.
Robert Barry – UBS: Right. Okay.
Larry Kingsley : To your earlier comment, the question regarding the 2012 impact, the $0.15 to $0.20 is the true CVI impact to the company next year on a GAAP basis. So meaning that’s inclusive of the $12 million of additional intangible amortization. We will, as we guide for 2012, we will have higher interest expense next year, not necessarily specific to CVI but more so as we are taking on additional debt in the fourth quarter that will calendarize for full year next year. We have not called that what that it is as we are not prepared to give the rest of our 2012 guidance.
Robert Barry – UBS: Right. The new debt that you are taking on, did you say that you are going to use it to replace existing debt?
Larry Kingsley : That’s exactly right. We are using it term out about $350 million of our current bank facility and there is an incremental impact from that albeit we’ll get good 10-year interest rates.
Robert Barry – UBS: Gotcha. Okay. And then I guess just finally, I wanted to dig into FMT a little bit more. Looks like some really good momentum there. I was wondering if you could just give a little bit more color on what you think is driving that. And in particular in the chemicals area, we’ve been hearing a lot about potential opportunities in US chemical infrastructure build to -- given all of the cheap gas. That’s probably more in the future, but I was wondering if you could comment on that as well? Thanks.
Larry Kingsley: You are on it, Robert. I would tell you though that what we are seeing against the existing profile that drove that 14% for the segment for the quarter and as you remember a bigger number in the first quarter, it’s pretty broad based. We saw healthy orders and we think we continue to see healthy orders in certainly the chemical end markets but also energy. Ag is doing fantastically well. When you go right through it all of the food looks quite good right now for us. The piece that is somewhat anemic relative to the rest is water which you would expect, but even water is growing for us. And if you break it down, there is a pretty different story for the US portion versus the international piece and when you do the math, it’s something like 7% of the company revenue exposure is for US water. So that’s kind of the trouble area, if you will, within FMT. Everything else is quite good. To get back to your question on where it’s coming from, what’s within the chemical end markets, so far what we’ve seen is the US chemical orders have been largely MRO. There is not much big project activity in that. The international portion of what we are seeing out of chemical for FMT has been much more project driven with continued expansion and more projects on the books right now. So if there is infrastructure expansion and the word is that there is some coming in 2012, in the US that would be a layer on top of what the current profile would suggest.
Robert Barry – UBS: Okay. Great. Thank you.
Larry Kingsley : Sure.
Operator: The next question is from Allison Poliniak with Wells Fargo.
Allison Poliniak – Wells Fargo: Hi, good morning.
Larry Kingsley : Hi.
Allison Poliniak – Wells Fargo: Hi. Can you just -- I know you touched on the acquisitions a little bit. Just a little bit more color in terms of the pipeline, maybe pricing, what you are seeing out there right now?
Larry Kingsley : Sure, Allison. I think frankly for us, it’s almost never been better. We’ve got a number of ongoing very solid proprietary transactions in various stages and we can afford to be really choosy as to which ones we chase. The strategic focus is, as I said in the last call, I think still short term executing on very key HST acquisitions, but we also have some very attractive FMT things that we think are high likelihood of getting close this year. So you’ll see us between now and the end of the year continue to generate some very, very nice returns on some very meaningful strategic elements to both FMT and HST. I’m not going to comment very specifically on pricing, Allison, for maybe obvious reasons, but we are very pleased with what we are finding.
Allison Poliniak – Wells Fargo: Okay. Great. And then just on the orders, I know all the concerns with [FlowNomics] can you just talk about the progression of orders maybe three -- quarter and maybe touch on July, if you can?
Larry Kingsley : On a company wide basis, orders -- organic orders increased through the quarter, so a little less linear than we’ve seen over the last few quarters. What we are seeing generally speaking right now is that still a fair amount of volatility and a lot of desire operationally to place orders later with the assumption that we can fulfill or any good supplier can fulfill. So there is hesitancy, in many cases, to place blankets and we see those as some of perturbations on what you find year-over-year, HST being certainly the primary example this quarter. I do think though that we are starting to fall into a little bit more normal book-to-bill kind of environment and so while things are compressing slightly right now in the middle part of this year because essentially working off bigger order commitments in Q4 and Q1, we -- what we see Allison looking into the back half is that you get to a little bit more of a normalized order and sales relationship and not to go too far into this, but our internal forecast still supports the same kind of perspective that we have for HST at the beginning of the year and an improved one for FMT.
Allison Poliniak – Wells Fargo: Great. Thank you.
Larry Kingsley: Sure.
Operator: The next question is from Wendy Caplan with SunTrust.
Wendy Caplan – SunTrust: Hello. Good morning.
Larry Kingsley : Hi, Wendy.
Wendy Caplan – SunTrust: You know, Larry, I was looking back this morning and at some of the peak margins that you posted notably in FMT and HST and back in at the prior peak in 2007 they were at 21%, 22%. Can you -- is there any reason why we can’t get back there and given that an additional part of that question – you’ve cited that you are making growth investments in your business, which of course from a strategic standpoint makes a whole lot of sense. But is that going to keep us from getting back to those peaks or how should we think about that?
Larry Kingsley: Wendy, start with the reasons for as why we perhaps wouldn’t get back to there is one, we are growing internationally much faster than domestically and a lot of companies are obviously struggling with realizing margins in emerging markets at the same kind of rates that they have seen historically in the developed markets. We are not. We are actually seeing really strong margin as a function of basically the same business model and we are very pleased. I would tell you I’m really happy with what we are seeing year-to-date and what we have going forward coming out of the fastest growing markets around the world in terms of P&L profile. So that looks good. When you get right down to what other impacts you have to organic flow-through in this environment you still -- if the economy does grow you still have the potential for inflation adversely impacting the performance and we historically had always been hovering around kind of 200 bps or maybe just 200 bps of price per year off of relatively stable material incoming costs. We are not quite back to that formula yet, but it looks like we are coming back to it. In the quarter we were -- price was probably about 130 bips year-over-year for the base business and as I said in the remarks, we think we have got material costs well in hand now for the full year. So there’s a little bit of improvement necessary to get back to that kind of incremental flow-through math that we saw pre ‘09. The infrastructure or internal IDEX SG&A investments aren’t going to inhibit our ability to get back to peak margins at all. The only thing when you link about the company all up that certainly does impact it is the degree of acquisition content that comes in at any given point in time because of the amortization math that comes with that. So, in a given quarter, you are going to have the impact of chunks of acquisitions that come in a GAAP EPS form that are certainly much lower than the rate that you could see out of the base business.
Wendy Caplan – SunTrust: Okay. That makes sense. Thank you so much. And one more question. Given -- I think you called that the mix to macro view or something like that in your press release last night, as you look at sort of scope the world here, your world, are you making contingency plans for a downturn for something more dramatic than what we are seeing at this point? What are those and what’s going to make that happen? Are you on that path at this point or holding off or how are you thinking about that?
Larry Kingsley : What we are doing, Wendy and we’ll talk more about it next quarter, but we are simultaneously going after internal footprint costs at the same time investing in the business. So, I think the requirement now for leadership is to be somewhat schizophrenic. We are aggressively investing where we think the profile of the business needs to be. At the same time, we’re certainly aggressively going after costs to make sure that we can support the investments. So, you’ll continue to see us go after what our, you know, all of the cost components and certainly going after the western world pretty aggressively to support what we want to do to go to the higher growth markets.
Wendy Caplan – SunTrust: Okay. Thank you very much, Larry.
Larry Kingsley: Sure.
Operator: The next question is from Scott Graham with Jeffries.
Scott Graham : Hi. Good morning.
Jefferies & Co.: Hi. Good morning.
Larry Kingsley: Hi, Scott.
Scott Graham : Hey, one housekeeper and one more Broad question. How much of this $3.7 million of acquisition expenses was in FMT versus HST versus corporate?
Jefferies & Co.: Hey, one housekeeper and one more Broad question. How much of this $3.7 million of acquisition expenses was in FMT versus HST versus corporate?
Heath Mitts: Scott, this is Heath. It all resides in corporate.
Scott Graham : All in corporate. Okay. That probably answers my next question. Historically, we go back in time, we see the corporate overhead running in there sort of 2.5 to 3 range and now we’re kind of running in that 3 to 3.5 range and this year actually kind of more towards the 3.5. Should we kind of expect that because of acquisition related expenses or is there something else going on there?
Jefferies & Co.: All in corporate. Okay. That probably answers my next question. Historically, we go back in time, we see the corporate overhead running in there sort of 2.5 to 3 range and now we’re kind of running in that 3 to 3.5 range and this year actually kind of more towards the 3.5. Should we kind of expect that because of acquisition related expenses or is there something else going on there?
Larry Kingsley: The actual, I’ll say fixed overhead of the corporate piece has not changed markedly over the past couple of years. It’s really tied to specific transactions when we are active in a diligent phase or a completion phase of those deals. So what you are seeing here year-to-date have been very specific to the deals that we’ve closed this year, ATFilms, Microfluidics and CVI.
Scott Graham : Okay. So given your comments about the pipeline in the second half in 2012, we really shouldn’t see that number come off much on a percent-to-sales basis?
Jefferies & Co.: Okay. So given your comments about the pipeline in the second half in 2012, we really shouldn’t see that number come off much on a percent-to-sales basis?
Larry Kingsley: It’s going to be very specific to timing of when transactions get completed.
Scott Graham : Completion, I see. Okay. Then, I guess, the last question would be and you know, kind of a housekeeper at least for me, you guys are still in that maybe this is more of a question for you Larry $20 million, $25 million of productivity costs take out in 2011, that’s still on track?
Jefferies & Co.: Completion, I see. Okay. Then, I guess, the last question would be and you know, kind of a housekeeper at least for me, you guys are still in that maybe this is more of a question for you Larry $20 million, $25 million of productivity costs take out in 2011, that’s still on track?
Larry Kingsley: A big picture, yeah. I think -- what we’re sorting out again in a fully disclosed sense here is how much backdoor material cost inflation is still inherent within the material or procurement portion of our annual savings plan and needs to get netted out of what we are seeing in the way of total strategic sourcing savings. And so that math is a little bit different now than it was in the good old days.
Scott Graham : Understood. That was all I had. Thank you, both.
Jefferies & Co.: Understood. That was all I had. Thank you, both.
Larry Kingsley: Thank you, Scott.
Operator: Your next question is from Charlie Brady with BMO Capital Market.
Charlie Brady – BMO Capital Markets: Hey, thanks. Good morning, guys.
Larry Kingsley: Good morning.
Charlie Brady – BMO Capital Markets: Could you -- just back on the sales question again, specifically on HST on the organic number and I wanted to make sure I understand your commentary on the answer to the question, the core sales or the organic sales rate on that business in particular is kind of is down about a 4% rate down from 8, down from, you know, higher about that. Obviously, it’s comping harder. But what is your expectation? Are we kind of entering a normalized mid-single digit core growth rate for that business or where do you see kind of core growth rate out over next 12 or 18 months HST?
Larry Kingsley: We’re still, as I said, we are still assuming HST core growth rate at double digits. Could it slip a point? Perhaps. But it’s, you know, it’s still pretty close to what we’ve talked about in essentially year-to-date. I wouldn’t get overly hung up on what you look at in the year-over-year comparables for HST. As I said, in the prepared remarks some of that’s blanket timing. There’s probably 3.5 points of blanket timing when you look at year-over-year. And when we look at sequential orders for HST, Q1 to Q2, not radically different than the order profile that we’ve seen historically, so that trend is not any different. And I think that if you look at the -- kind of the sub-segment breakdown of the end markets, we certainly expect very strong performance out of all the life science exposure. And basically, everything -- the only question I’ve got as we look forward is what’s going to come out of that medical capital equipment portion of HST that we serve? That’s where we’ve seen more and a movement of the blankets, the OEM blankets than we had anticipated. So we’ll know more certainly a quarter from now. But we’re not expecting it to terribly adversely impact HST for this year, nor for that matter going into next.
Charlie Brady – BMO Capital Markets: Okay. Thanks. And on switching gears, the Dispensing business -- obviously, with more acquisitions it becomes a smaller and smaller piece of the business, less and less core. What are your thoughts on that business if it doesn’t become divested at some point of rolling it in under something else so it doesn’t, so it’s not always standalone business any more?
Heath Mitts: That could happen.
Charlie Brady – BMO Capital Markets: Okay. Thanks.
Operator: Next question is from Matt Summerville with KeyBanc.
Matt Summerville – KeyBanc: Good morning. A couple questions. First, Larry, can you give us a little more granularity? Your organic sales growth was 8%, I believe, in the quarter. Can you talk about what the U.S. growth rate was, year up in emerging markets for all of IDEX kind of bracketing around that 8%?
Larry Kingsley: Yeah. Essentially, U.S. growth rate for the company was about a third of the rest of the world, simple terms, a third of the faster growing markets. And I think that profile is pretty close to what we’re going to see for the full year. Think about the U.S. growing at kind of the 4% range organically, the rest of the world growing three times that pace and emerging markets growing off the charts.
Matt Summerville – KeyBanc: And how would you characterize Europe then as well?
Larry Kingsley: Europe is actually good. In total, northern Europe for our market and for our content is positioned as very strong. And we don’t have very much that we think is diversely impacted in southern Europe. Even our Italian business has got pretty strong global position so a good chunk of it gets exported. So I think, for us, for the full year, Europe will be a pretty healthy story.
Matt Summerville – KeyBanc: I mean, you gave some detail around kind of what you were seeing, developed markets, emerging markets on the chemical side of FMT. Can you do the same for the energy side of the business and fold into that, you know, MRO versus project?
Larry Kingsley: Sure. We saw a better project content in energy in the first quarter than we saw this past quarter. But we’ve got nice things on the docket frankly right now for the back half of the year. So I don’t know if I’d assign trends to any of that as much as it is, just some of the things that we’ve got that we’re working on. Strong international growth, very strong, U.S. would follow that same pattern I just spoke to with respect to the whole company. Again, we’re midstream. So we’re not going to see the super high organic contribution that the companies have got more upstream content are seeing here for the short term. We tend to see a better performance in down markets given where we play and not such -- so much fantastic upstream content, high growth in the cyclical portion of the market that you’re seeing right now from that respective area.
Matt Summerville – KeyBanc: Outside of maybe some of the buy ahead you did from a large or component standpoint, can you talk more about the inventory issues that sort of impacted the free cash flow number and whether those have been resolved and kind of what led to that, I guess?
Larry Kingsley: Yeah. Sure. So as I said, maybe just to help you with some math. Think about, we probably should have generated a free cash number in the quarter of 55 million or better. So you’re bridges 55 to 46 as a minimum, potentially, that’s entirely inventory to keep it simple. There are other very small puts and takes but it’s basically inventory. And that comes down to from what we did over that 90-day period to about half of that roughly was understood, known, even approved in many cases in advance as investment to make sure we locked in capability and capacity, where we thought we were facing some shortage. And another good chunk within that, understood and predetermined half was to achieve appropriate pricing given what was pretty volatile, particularly metals commodity activity earlier in the year. The other few million now that I spoke to that is not stuff that we predetermined and planned for and frankly, wasn’t good process was, I think, a bit of overreaction on the various folks throughout the company seeing tremendous volatility in both demand patterns and ability of the supply chain to support that, to ensure that we didn’t miss our on-time delivery commitments to our customers and we were bidding entirely very hard through the first quarter making sure that OTD for the company was at a minimum of 90% to customer request if not shooting for 95%. So I think we got a tab, kind of overreacted, if you will, with respect to how we make sure that was satisfied. If you look at the back half of the year, I think you’ll see a more typical IDEX free cash equation generated and that will allow us to achieve certainly much stronger performance. We already -- I think we’re going to see it here in Q3 and in Q4. So there’s no mystery as to what we need to do. It’s just a, kind of a, bit of counter measure required due to the overreaction from early in the year.
Matt Summerville – KeyBanc: Great. That’s helpful. Thanks Larry.
Larry Kingsley: Sure.
Operator: Your next question is from Brian Meyer with Robert W. Baird.
Brian Meyer – Robert W. Baird: Hi, guys. If I could start off with a question on HST orders, kind of revisit in the commentary in the sequential pattern. You mentioned, it’s not that different than normal. And I guess, I just want to clarify that. Is that kind of what you would expect to see just seasonally, just a little bit flat to down organically?
Larry Kingsley: Yeah and again, you have to go back to when it was normal because it goes back a couple years now. But typically, HST is blanket heavy earlier in the year and so you see that book to bill strongest in the first part of the year. It flattens out through the middle part of the year and tends to get a little stronger in the back and fourth quarter.
Brian Meyer – Robert W. Baird: Okay. So you’re clear than you’ve not real seen any change in the tender from your major customers on that side in the outlook?
Larry Kingsley: No. Again, the life science OEM customer base is still talking very strong demand. Again, we’re gaining share pretty quickly globally and so even if their numbers are mid-single digit, I feel confident that we can achieve double digit. The only portion of the HST space I think is one we got to keep our eye on is some of the medical, kind of the dental, capital equipment markets that we serve principally it’s out of our guest product line. Those are coming in a little lumpier than we would like right now, still strong book and turn but lumpier performance relative to what we saw the first part of the year.
Brian Meyer – Robert W. Baird: Got it. Make sense. And then, just one more I guess on the growth investments specifically relative to FMT, is it possible to kind of back into what may be a more normalized incremental margin would have looked like if you kind of account for the growth investment and then I guess, kind of, related to that, what is the expectation going forward. I assume that number is kind of the growth investment sustainable, but I guess let me know if that’s not the case?
Larry Kingsley: Well, let’s see. How’s is -- I’m thinking about the best way to answer that question. I think, you just ought to assume that FMT is going to continue to expand margin based on what looks to be good mix here for the next few quarters, good leverage. They are getting nice flow through and I don’t see any reason why that changes too tremendously.
Brian Meyer – Robert W. Baird: Fair enough. Thanks a lot, guys.
Larry Kingsley: Sure.
Operator: (Operator Instructions) The next question is from Chris Wiggins with Oppenheimer.
Chris Wiggins – Oppenheimer: Good morning.
Larry Kingsley: Good morning.
Chris Wiggins – Oppenheimer: Just a couple of quick ones. First one, you noted some pricing action in the quarter. I was just wondering if you may have seen any pull forward from customers ahead of the price increase?
Larry Kingsley: Most of the price action started in February and we’re well in place going into the quarter. So you wouldn’t see a sales impact in the quarter that was a pull forward from Q3.
Chris Wiggins – Oppenheimer: Okay. That’s helpful. And just last question I had, just wondering if you could provide some color on your businesses and the strength of your businesses versus your expectations. And I guess, what I’m trying to get is when you look across all of your different businesses, does it look like it’s more of a mixed bag now where some are running below plan, some are running better than plan and most of them are kind of running in line with your expectations versus may be a couple quarters ago where it seems everything was kind of beat and raise. Is that a fair characterization?
Larry Kingsley: Yeah. I would say that I think we feel good, very good about where the businesses are, generally speaking relative to plan and relative to the market trends that we see. To give you some color, so if you go back to the fourth quarter and earlier in the year, we called out -- we said roughly 80% of the end markets we thought would be quite strong, 20% not so great. That’s better versus worse number is improving. So what’s not great is North American water. That’s about 7% or so of the company. Fire which is -- or the U.S. portion of that which is 3% of the company and Dispensing if you think about and can give me all these kind of pro forma thinking about with CVI included but Dispensing probably you know, down to six or so in the third quarter. So you add those up and you get to whatever that is, 15, 16 points on the top line for which I think it’s not good. But we knew it was going to be not good. What’s improved and we feel incrementally better about is the breadth and health of what we’re seeing out of FMT.
Chris Wiggins – Oppenheimer: Great. That’s very helpful. Thank you.
Larry Kingsley: Sure.
Operator: Your next question is from Mark Barbalato with Vertical Research Partners.
Mark Barbalato – Vertical Research Partners: Good morning. Thanks for taking my question. I guess I wanted to get a little bit more color on price cost. It sounds like you guys were capturing more price than you were realizing cost on raw materials. Can you just give us a little bit more granularity?
Larry Kingsley: Actually, no. It came in for the quarter pretty close to what we’ve assumed, what we’ve seen changed from the earlier portion of the year is that volatility in most of the commodities that comprise our material cost structure have somewhat -- it’s kind of subsiding and it’s going to be, I think, a little better frankly in terms of total costs as we work our way through the back half than what our internal plans had assumed but not tremendously different. The areas that we’re still seeing material cost inflation and even still some slight risk of availability are specialty plastics, it’s the fluoropolymers or fluoroplastics that we buy that are used in pumps and valves and both FMT and HST and also in some of our seals products and those are still areas of concern. We buy, you know, really magnet material for mag drive pumps and by way of our motor suppliers and those prices are still going to be high for the full year but that’s really all off a small portion of our total spend. I think on the input side, its stabilizing is the bottom line and it’s not stabilizing in a bad way. I think it’s now more forecastable for the back half and I think it helps with certainly what we see as a good cost position for the current base for the rest of the year. On the price side, we’ve achieved pretty close to what we had planned and as I said in the quarter, up about 130 BIPs and that’s probably representative of what you can assume and model for the back half. So I think that we’re, kind of what we thought we were and we’re in pretty good shape.
Mark Barbalato – Vertical Research Partners: So the back half of the year should be close to parity on price costs?
Larry Kingsley: Yeah.
Mark Barbalato – Vertical Research Partners: Okay. Great. Thank you very much.
Larry Kingsley: Sure.
Operator: Your final question is from Walt Liptak with Barrington.
Walt Liptak – Barrington: Hi, thanks.
Larry Kingsley: Hi, Walt.
Walt Liptak – Barrington: Hi. Okay. So I got on the call a little bit late but I wanted to ask about -- and thank you very much for the second half bridge. When I look at the organic volume, the 26 million to 33 million and if I’m adding the numbers right, it looks like you’re expecting organic volume growth of about 4% in the back half.
Larry Kingsley: Before you take out Dispensing.
Heath Mitts: Walt, this is Heath. This is the incremental amount over and above Q1 or I’m sorry the first half, the incremental amount over and above the first half. So whatever the first half organic assumption is plus this would get you to an organic sales rate. So our assumption set for the year for the company is that organic revenue will still be in the high single digits.
Walt Liptak – Barrington: Okay. Great. And I got on the call a little bit late and it’s probably easier doing it right now. Could you run through the organic orders by segment, just the numbers?
Heath Mitts: Sure, I’ll take you real quick. Fluid and Metering is plus. Let me get the right sheet. Fluid and Metering orders were up 14, Health and Science, they were up four, Dispensing down 21, Fire & Safety up eight.
Walt Liptak – Barrington: Okay. Great. Okay. Thanks, guys.
Operator: There are no further questions. I’d like to turn the call back to management to continue the presentation and for any closing remarks.
Larry Kingsley: Okay. Well, thank you very much. Thank you for joining. I think we’ve -- by way of the prepared remarks and the questions basically covered it very completely. We’re in great shape as we look from this point through the back half of the year. The revenue looks strong and we’re achieving great throw flow through as we would have expected. So thank you for joining and we look forward to talking to you through the course of the quarter and on the next call.
Operator: This concludes today’s conference call. Thank you for your participation. You may now disconnect.